Operator: Ladies and gentlemen, thank you for standing by. Welcome to the TE Connectivity Quarter One Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will be given at that time. (Operator Instructions) As a reminder, today’s conference is being recorded. And I would now like to turn the conference over to our host, Mr. Keith Kolstrom. Please go ahead, sir.
Keith Kolstrom: Thanks. Good morning and thank you for joining our conference call to discuss TE Connectivity’s first quarter 2013 results. With me today are Chairman and Chief Executive Officer, Tom Lynch; and Chief Financial Officer, Bob Hau. During the course of this call, we will be providing certain forward-looking information and we ask you to review the forward-looking cautionary statements included in today’s press release. In addition, we will use certain non-GAAP measures in our discussion this morning, and we ask you to review the sections of our press release and the accompanying slide presentation that address the use of these items. The press release and related tables, along with the slide presentation, can be found on the Investor Relations portion of our website at te.com. Finally, for participants on the Q&A portion of today’s call, I would like to remind everyone to please limit themselves to one follow-up question. Now, let me turn the call over to Tom for some opening comments.
Tom Lynch: Thanks, Keith, and good morning, everyone. If you could please turn to slide three and we’ll get started. First quarter results were in line with our expectations, as strong margin performance offset slightly weaker than expected sales, particularly in our Network segment. Orders were up 3% versus prior year to $3.1 billion and strengthened through the quarter in most of our businesses, primarily due to improved economic conditions in the U.S. and China. And excluding SubCom, our book-to-bill for the quarter was 1.02, which compares to about a 0.98 last year. We also had another strong free cash flow quarter generating $304 million. And of that, returned $267 million to shareholders through dividends and the repurchase of approximately 5 million shares. We expect to return over 1 billion to shareholders for the full year as we also indicated on our prior call. I’m encouraged by the order trends, also encouraged by our strong execution on productivity and the traction we’re making on the cost reduction programs we announced last quarter. And as a result, we do expect increased sales and earnings in the second quarter and we expect to deliver a strong second half. Please turn to slide four. Total company sales of $3.13 billion were down 1% versus the prior year and down 4% on an organic basis. Currency translation negatively impacted year-on-year growth by $43 million and the Deutsch acquisition contributed $148 million in revenue. Versus the prior-year, revenue in our Transportation and Industrial segments were up low single-digits due to the addition of Deutsch. The Network and Consumer segment declined in the quarter. The Network decline represents a continuation of weak CapEx spending and many segments of the broadband network. Consumer was down slightly due to weak PC demand, more than offsetting our improving position in tablets and smartphones. By region, compared to the prior year, revenues were up 4% in the Americas, down 2% in Europe, and down 5% in Asia. Within Asia, China was up about 4%. However, the rest of Asia was down primarily due to weakness in Japan. Please turn to slide five and I’ll provide some highlights of our segment performance. Transportation had another strong quarter of performance with sales up 3% and adjusted operating income up 10%. Overall, global light vehicle production was up slightly versus the prior year with growth in the U.S. and China offsetting declines in Europe and Japan. Commercial vehicle production continued to be soft in Q1, but orders have strengthened early in the current quarter, and we expect sales in this segment to continue to grow in Q2. Please turn to slide six. Revenues and adjusted operating income in our Network business were down 8% versus the prior year. As I mentioned earlier, the market for broadband network equipment, particularly in the wireline portion of the market, continues to be soft. And we don’t expect to see this improvement till late in the second half. Project activity in the SubCom business remains robust, but the funding continues to be slow. And we actually expect this business to bottom in the second quarter. So we have a strong pipeline, but projects coming into force have been slow. With respect to the Network segment overall, I still continue to be bullish despite the fact that we’re in this pretty extended lull in demand on the wireline side. The underlying trends would say that the network has to continue to be built out with small base stations coming and the need to drive fiber close to the home to get the data rate that consumers and businesses demand. We think the market will be coming back. It’s been hard to call the timing, but we’ll still remain bullish on the underlying market trends. Now during this lull, we’ve been pretty aggressive, as we mentioned last quarter, in taking costs out. So much like we did in automotive in the downturn, we’re positioned in this business for a really strong rebound in sales and earnings growth as demand picks up. Please turn to slide seven. Revenue in the Industrial segment was up 2% as the Deutsch acquisition offset continued weak demand in the industrial equipment and solar markets. Adjusted operating margins up 12%, were down as expected due to the low sales level. Based on normal seasonality and improving order trends, we expect steady sales and margin improvement over the balance of the year. And we expect our margin in this segment to be up several points by the end of the year. Please turn to slide eight. Sales in our Consumer segment were down 4% versus the prior year, with adjusted operating margins up 300 basis points and adjusted operating income up 32%. We’re finally beginning to see the results of our efforts in tablets and smartphones, and getting increased number of designing with the important customers in this segment. However, this growth was offset by general weakness in the PC market, which is still a large portion of our Consumer Devices business. Adjusted margins improved in this segment over the prior year, primarily as a result of improved productivity and cost reduction actions. Now, let me turn it over to Bob, who’s to going to cover the financials in more detail.
Bob Hau: Thank you, Tom, and good morning, everyone. Let me discuss earnings, which start on slide nine. Our GAAP operating income for the quarter was $293 million, which includes restructuring charges of $92 million and Deutsch acquisition-related charges of $5 million. Adjusted operating income was $390 million with an adjusted operating margin of 12.4%, up 30 basis points from Q1 last year. GAAP and adjusted EPS were $0.65 for the quarter. GAAP EPS included $0.15 of restructuring and other charges, and $0.01 of acquisition-related charges, offset by $0.16 of income related to tax items. The tax income was primarily related to the settlement of an audit of prior year tax returns as we continue to make progress on resolving our pre separation shared tax liabilities. Please turn to slide 10. Our adjusted gross margin in the quarter was 31.6%. Despite sales that were slightly lower than expected, both gross and operating margins were above our outlook for the quarter as a result of increased productivity and rigorous cost and spending controls. Total OpEx spending was $599 million in the quarter. And this was up about 7% versus the prior year largely due to the addition of Deutsch. The right side of the slide details items in the P&L below the operating line. Net interest expense was $33 million for the first quarter, about flat versus the prior year. I expect approximately $32 million of expense per quarter for the remainder of the year. Adjusted other income, which relates to our tax-sharing agreement, was $5 million versus our outlook of $9 million. On a GAAP basis, taxes were a benefit in the quarter, due primarily to the settlement of an audit of prior year tax returns as I mentioned earlier. The adjusted effective tax rate was 23%, slightly lower than the 24% to 25% guidance. Both adjusted other income and adjusted tax expense were lower, and the net effect was no impact to EPS compared to guidance. For the remainder of the year, I expect other income of about $8 million per quarter and tax rate of 23% to 24%, which is slightly lower than what we guided last quarter. Please turn to slide 11. Cash from continuing operations was $393 million. Our free cash flow in Q1 was a very strong $304 million. This was a very good start to the fiscal year as free cash flow is typically the lowest in the first quarter. We continue to expect free cash flow to approximate net income going forward. Capital spending during the quarter was $124 million or about 4% of sales. This is consistent with historic levels of approximately 4% to 5% of sales. Working capital levels are in line with our expectations. Receivable days outstanding were 63 days and inventory days on hand were 74 days, both up slightly versus the prior year primarily due to the addition of Deutsch. Our businesses continue to do a very good job managing working capital. Now, let me discuss the sources and uses of cash outside of free cash flow shown on the right side of the slide. We began the quarter with $1.6 billion of cash and ended the quarter with about $1 billion. During the quarter, we returned a total of $267 million to shareholders. We paid dividends of $89 million and repurchased 5 million shares for $178 million. The cash flow statement shows a slightly lower dollar amount for share repurchases due to the timing difference on actual payment of funds. We continue to expect additional share repurchases of $150 million to $250 million per quarter in fiscal 2013. Outstanding debt was $3 billion at the end of the quarter. As I have discussed on last quarter’s earnings call, debt was reduced by approximately $700 million in early October with the pay off of notes that had matured. We expect debt levels to remain at approximately $3 billion for fiscal 2013. And finally, on December 26, Standard & Poor’s raised the credit rating on TE from BBB to BBB+ with a stable outlook based on our stronger performance. Now, I’ll turn it back to Tom.
Tom Lynch: Thanks, Bob. Please turn to slide 12. We are beginning to see some positive signs in the U.S. and China as order strengthened during the quarter. I mentioned this earlier. And this momentum has continued into January, the first three weeks of January. All segments except Network had a positive book-to-bill in the quarter. And our overall book-to-bill was 1.02 excluding SubCom. As a result, we are a little more optimistic that we will see continued demand improvement as the year progresses. Please turn to slide 13. Based on the order trends, we expect revenue in Q2 to be in the $3.2 billion to $3.3 billion range and adjusted EPS in the $0.68 to $0.72 range. At the midpoint, revenue would be about flat versus the prior year with EPS up 3% and adjusted operating margins would be between 12.5% and 13%. We expect approximately $100 million of restructuring charges in the second quarter as we are accelerating our cost improvement actions. On a year-over-year basis, revenues in the Transportation segment would be up about 5% primarily due to the addition of Deutsch, as growth in automotive is offset by a weaker demand for industrial and commercial vehicles. Networks will be down about 8% primarily due to weakness in SubCom. Please turn to slide 14. For the full year, we expect sales in the range of $13.3 billion to $13.7 billion and adjusted EPS of $3.05 to $3.25. And the midpoint of $3.15 is consistent with our prior guidance on lower sales of about $200 million. At the midpoint of this guidance, adjusted EPS would be up about 10% on revenue growth of about 2%. We expect the total of approximately $225 million of restructuring charges for the full year. And this is an increase of $25 million versus prior guidance as we plan to accelerate several actions in response to the current slow environment. We do expect stronger than normal earnings improvement in the second half and I’ll highlight the key reasons for that. Global auto production is expected to improve slightly in the second half compared to the first half. We are expecting a modest pickup in Network and Industrial Solutions demand relative to the first half of the year, and slightly up versus the second half of last year, which is not very strong. We do expect SubCom revenues to return to the $125 million per quarter in the second half. And we have won the awards and now they need to go into force. And as I mentioned, the key there is getting the funding, but we believe we’re getting closer. Momentum in our Consumer Device business continues. We have a number of new products we’re launching that will go into the market in the second half. So that’s another key milestone for us in this business contributing to the sales growth. And then we’re expecting a continuation of a slow but steady recovery in the industrial vehicle market. As I mentioned earlier, the orders in that market segment have been very strong over the last four to five weeks. And then last but certainly not least, we expect to continue the margin improvement due to our Lean programs and the accelerated cost improvement action. So, about half the revenue increase in the second half is seasonally related. The other third is we’re expecting stronger markets for automotive, commercial, aerospace, industrial. And then another third is we have some significant new product launches, particularly in our Consumer and Fiber businesses, Network businesses. And I think the key point is at the margin rate we’re delivering now, we’ve continued to improve operating leverage. So please turn to slide 15. Before we move to Q&A, I wanted to review the three scenarios I laid out for fiscal 2013 on the last call. And these scenarios really summarize how expect to perform at different sales levels, which I think is important to understand. To recap, at the low end scenario, revenue would be flat year-over-year and we expected to generate about 5% adjusted EPS growth as a result of productivity improvements and the benefit of share repurchases. The midpoint scenario assumed 3% sales growth with a modest economic pickup beginning in second half and adjusted EPS growth of approximately 10%. And at the high end of the range, a stronger recovery in the second half was assumed with sales growth of 5% and EPS growth of 15%. So, what happened in the first three months of the year, sales in the first quarter were slightly lower than expected. Margins were stronger due to the increasing impact of our productivity programs and cost and spending controls. Free cash flow continued to be very strong and it was in fact stronger than anticipated. And order rates did improve through the quarter in the vast majority of our businesses. So when we take that all in and all the data points in the macro world, these results in current order trends lead us to a view for the remainder of the year that anticipates revenue at the low to midpoint of prior guidance, and adjusted EPS at the midpoint. Revenue levels remains tough to predict in this environment. But on the positive side, we’ve got off to a great start with our productivity and cost reduction initiatives. And we expect to carry this through the balance of the year. We expect another strong year of cash flow and expect to return over $1 billion in capital to our shareholders this year. As Bob mentioned earlier, we continue to expect $150 million to $250 million of share repurchase a quarter in fiscal 2013. And in addition, our board has recommended a 19% increase in the dividend to $1 per year. This increase would be effective with the June quarter and is subject to shareholder approval at the March annual meeting. So again, I think the bottom line for us is our strong cash flow and improving operating leverage should enable us to deliver very attractive earnings growth even at a low sales growth rate. So with that, let’s open it up for questions.
Operator: Of course. (Operator Instructions) Our first question today comes from the line of Amit Daryanani with RBC Capital Markets. Please go ahead.
Amit Daryanani – RBC Capital Markets: Good morning, guys. Just a question, I guess, on the Automotive segment. If you could maybe talk about the softness that you saw in the December quarter, specifically in EMEA. This was more demand driven or do you think there’s an inventory correction that’s occurring over there that could persist over the next couple of quarters especially related to dealer registered vehicles, if you may? Maybe if you could just talk about that part of the business and the inventory correction, that’ll be helpful.
Tom Lynch: Sure. I think in the Automotive piece, it’s more demand-driven, Amit, to your point about the low new registrations. That’s offset a little bit by the fact that the high end, half the cars there are being exported to other parts of world. Where in China and the U.S. where the economies are picking up again, we didn’t see too much inventory. I think inventory in auto chain, value chain or supply chain is in good shape. We did see some inventory corrections the last couple quarters in the industrial vehicle market. But now, we’re starting to see that turn around. So I’d say that’s how I would summarize it.
Amit Daryanani – RBC Capital Markets: Got it. And so the expectation would be that that segment or that automotive in general should improve as you go forward through fiscal 2013, right, on a revenue basis?
Tom Lynch: Yes.
Amit Daryanani – RBC Capital Markets: And then as a follow up, if we’re just talking about the Industrial segment, can you just touch on the margin declines? You said it was fairly severe on a sequential and year-over-year basis. Maybe you could just talk about what happened there. And more importantly, the path to go back to 15% margin in that segment, is that going to be more revenue driven or do you think some of these cost takeout initiatives you have could help out that segment, especially in the back half of fiscal 2013? Thank you.
Tom Lynch: Okay. To answer the second part of your question first, it’ll be both revenue and cost, which the cost piece is well underway. The drop-off, that’s in high margin items. I mean that’s a business that’s over 50% through the channel into the industrial equipment portion of our Industrial Solution segment. So that tends to be very high margin. But we are seeing signs that the channel’s starting to replenish. We need to see a little more of that before we’ll move from cautiously optimistic to bullish. But it has a, I guess you could use the word mix to describe it. It’s just high margin business that dropped off. And then coupled with the solar business that was twice the size it is today a year ago because of everything that went on with the shift to China and then the ultimate significant collapse of the business. But I’m pretty confident of our ability to drive the margins back up to near company average or company goal over the next four or five quarters.
Operator: And we do have a question from the line of Shawn Harrison with Longbow Research. Please go ahead.
Shawn Harrison – Longbow Research: Hi. I wanted to focus in on, I guess, the cost profile, both the savings generated this quarter from raw materials and efficiency gains and kind of what you have left there. And then also, the accelerated restructuring program at $225 million this year, what does that mean for restructuring savings for fiscal 2013?
Tom Lynch: Shawn, I guess the second question, the $225 million restructuring, we begin to get a little bit at the end of the year. But most of this doesn’t start to hit until next year, given the nature of plant realignment and shut down and things like that. So for example, we’ve announced about half of them already, which is where we spent the $100 million. Now, once you announce, we need to move equipment, transition it to the receiving plant. Then that will typically take some time of the year. So as we said last quarter, we didn’t really expect to see too much benefit, maybe a little. I mean, we’re pushing and accelerating very hard and maybe get a little bit at the very tail end of the year.
Bob Hau: Shawn, the other aspect, you heard Tom say the restructuring charge for fiscal 2013 prior guidance was $200 million, now $225 million. So not only are we accelerating the actions we had already kind of laid out, but there’s a slight increase in the restructuring charge and the actions we’re taking. That will translate into about $85 million worth of annual savings. We had previously said we’d see $75 million of annual savings as we exited 2014, so full year benefit in 2015. That $75 million is now $85 million. So there’s a higher return from the increased spending.
Shawn Harrison – Longbow Research: In the raw material savings you saw this quarter, I mean, do you think you’ve eked out as much as you can from that or will you see more benefits as the year goes?
Tom Lynch: I think we’ll see more benefit. That was a nice contribution to our gross margin. It’s a program that’s been – we call the war on material. It’s been driven hard for several years here and it includes everything from upgrading the capabilities of the organization to how we design products to faster localizing of material sources. And over the last couple of quarters, all that have heavy lifting really started to come into fruition. So I would expect to continue to see this level of productivity through the balance of the year. And it’s one of the reasons why we’re optimistic about the ability to improve margins over the balance of the year.
Shawn Harrison – Longbow Research: And then just as a follow up, Network Solutions, taking maybe a little more bearish view. If I exclude the Subsea business coming back in the second half and the broadband project, what gives you confidence that the business bounces back over the next 12 months to 18 months? I know you’re taking more restructuring charges, but I just didn’t get a good sense today that you have maybe a lot of confidence in that bouncing back.
Tom Lynch: I thought we’d have more confidence by now. But it’s not quite where I’d like to be to your point, Shawn. We’re seeing signs. You need to go around the world. So in the emerging markets, there’s still double-digit growth. Pockets of growth in Europe. I think the U.S. finally had a little bit of growth in the first quarter in our revenue, which says that some of the investment is moving back into the wireline. Really, a lot of spending has been around expanding capacity on existing towers and then just deploying LTE, of which we don’t participate that much in our Network business. I think the next phase, which we thought would happen a little faster, I think is taking a little longer, which is pushing small base stations out and further near the home or the office because they’re not going to be building that many more towers. And those base stations, there’s going to be a lot of fiber connectivity to that. And then, we believe – you see what some of the carriers around the world are doing. They’re upping the bandwidth. They’re providing to the home and it is a way to raise the price. So, we haven’t changed our view on the underlying thesis of this business, which is you got to have the bandwidth. And over time, that fiber is going to continue to get closer to home. But it has taken longer than we thought. So, we think a little bit of an uptick by late this year, but we’re not counting on anything. Not about, I wouldn’t say it’s about. It’s just sort of a gradual pickup. That’s our current projection.
Operator: And we do have a question from the line of Sherri Scribner with Deutsche Bank. Please go ahead.
Sherri Scribner – Deutsche Bank: Hi. Thank you. I don’t know if I missed it. But did you give the number of orders this quarter?
Bob Hau: I think we did.
Tom Lynch: We said that our book-to-bill was 1.02 for the quarter excluding SubCom.
Sherri Scribner – Deutsche Bank: But you didn’t...
Bob Hau: And $3.1 billion.
Sherri Scribner – Deutsche Bank: Okay. And then just looking at the order rates, it seems like everything is improving with the exception of networking. Just wanted to get a sense of where you seeing improvements throughout the quarter and do you think you’ll see consistent improvements in orders as we move through the year in all the segments? Maybe a little more detail on the segment areas. Thanks.
Tom Lynch: Yes. That is our current view that starting with Transportation, I mean, not big increases, because it’s running pretty strong right now, but a pickup. I think the industry is forecasting 1 million more cars queued first half, second half. So that’s a little lift in the business first half and second half. We are seeing signs talking to our big OEM customers in the Industrial business and the distributors. We’re seeing orders for distribution pickup. But I think once everybody got through sort of the first wave of January uncertainty in D.C., we did see orders pickup. So four out of our last six weeks, you take the two holiday weeks out, orders had a lot of – were pretty robust, which was more than in prior years at that time of the year because it’s going to be a pretty soft time. And often at times, it’s very hard to call. So then you go into the Consumer business. We definitely have nice momentum albeit we’re still small in tablets and smartphones. But we have more designs than we did last year at this time. We’re executing them well. So those orders are picking up. PC is going down, but I would expect Consumer business will gradually ramp. The second half should be higher than the first half that we have some significant new products we’re launching there. The balance of industrial energy expected to be steady. It’s been a little slow particularly in Europe, but staring to see signs that that’s loosening up a little bit. And that’s a very seasonal business. So as we go into – coming out of the second quarter and go into third quarter, our Telecom and Energy businesses pick up because they’re outside businesses. So there is a typical kick to that. So there’s nothing that’s probably the biggest jump from first half to second half at SubCom. We have all the awards. It’s just those awards working through the funding. And of course, that’s the business where we can jump the most. So I think it’s pretty balanced. With Networks showing the lowest growth, I think we’re not bearish, but we’re conservative, I hope.
Operator: And we do have a question from the line of Steven Fox with Cross Research. Please go ahead.
Steven Fox – Cross Research: Thank you. Good morning. Two questions. First of all on the Consumer segment. I believe you just did 9% margins in that segment, which is a nice recovery. Tom, given all the product shifts that you mentioned for the next few quarters, what does that imply for the Consumer margins going forward and where could they go, maybe longer term? And then secondly, you mentioned one-third of the second half recovery would be around new products. I was wondering if we could get some key examples of what you’re referring to there. Thanks.
Tom Lynch: Sure. We would expect Consumer had a nice pickup from, of course nowhere to go but up you could say, from this time last year to 9%. And really, well-run to get there launching new products and we mentioned before new team. Our expectation is to pick up another point or two in the operating margin through the year. So the target is at the end of the year in double-digits in this business. We believe when we model it – and it is in many ways the hardest to predict business because the cycles are the shortest. We do have a nice infrastructure in Asia to support this business. So it’s low cost infrastructure. Most of our leadership team is there. So we’re on the ground close to the customer. We believe this can be low double-digits, nice return on capital, nice earnings growth model. We would expect this business to grow, core organic growth to be higher than the other businesses, part of that because of the share and part of it the nature of the growth of smartphones and tablets, et cetera. So I’d say the important thing for us in this business is to get double-digit margin by the end of the year.
Steven Fox – Cross Research: And then just on the new products?
Tom Lynch: The second part of your question was new products?
Steven Fox – Cross Research: Yes, just sort of examples of what you were referring to in terms of helping the second half?
Tom Lynch: You can imagine we can’t get into too much. But look, we’re really focused on miniaturization in the connector space. So high speed, really high speed, high performing, high reliable cables and then flexible antennas, so that they’re design friendly for the device designer. So those are the three big things and we have new products coming in all those. We’ve launched some new products in the first half as well. But we have another round of that coming in the second half that has some potentially higher revenue associated with it if we execute and the demand for the end products are there.
Steven Fox – Cross Research: Great, that’s very helpful. Thank you.
Tom Lynch: Sure.
Operator: We do have a question from the line of Amitabh Passi with UBS. Please go ahead.
Amitabh Passi – UBS: Hi. Thank you. Bob, just a clarification. It looks like the implied EPS for the back half of the year is about $0.90 a quarter versus the $0.65 and $0.70 in the first half. You may have touched on this. Just curious how do you see that ramp in the back half and that seems like implied operating margins would be almost kind of in the mid 30%s?
Bob Hau: See, you’re correct, about $0.90 per quarter in the back half. And that’s really driven by a combination of the seasonal growth that we typically see an outsized portion of our earnings in the second half of the year, given the sales growth that we see driven by seasonality plus the new products that Tom talked about. The other benefit we have is in our cost reduction programs whether it’s our Lean efforts with the TEOA, TE Operating Advantage, our war on material that we talked about earlier in getting both raw and component, material costs down on a year-over-year basis. We continue to accelerate that. And of course, the accelerated restructuring as well as a slight increase in restructuring all benefit us as we enter the second half of the year.
Amitabh Passi – UBS: Got it. And then just a follow up for you Tom, you touched on Network Solutions. You talked about the potential small cell opportunity. We’ve also heard some updates from AT&T, Deutsche Telekom. Just wondering, what kind of visibility do you have into any sort of potential bills with these two large operators? And any sense of timing? Do you think they’re more a 2014 type event? Do you think you could see some benefit this year? Just some thoughts around at least some of the more publicly announced updates from some of the larger carriers.
Tom Lynch: Well, there’s been definitely big announcements of total amounts of spending. And then you got at the doubles in the details where it’s going to be spent.
Amitabh Passi – UBS: Correct.
Tom Lynch: I think for us, we would expect a slight increase in spending in the U.S. in our section of the network. And probably a little more than that in Germany, but it is a carrier by carrier. We really have to go carrier by carrier. I’d say in the greenfield, building fiber quickly. In the U.S., it went through a significant investment in the sort of three to five years ago, pushing for the traditional telcos, pushing fiber and video on that fiber close to the home or to the home depending on the operator and then a lull there. But now, we see the pickup. And the carriers in the U.S. are talking about significantly increasing speeds. I think that’s the best news for us because that puts the pressure on everybody else. And as you get to 200 megabits, 300 megabits, that people are talking about and even in some of these experimental systems, they’re being built at a gigabit, you really got to bring fiber right to the home. So I mean, we’re very bullish. We’ve been off on the timing. We’re adjusting the cost structure accordingly, but we continue to be bullish on that. It only takes a couple of these operators to really drive it deep because then they begin to deliver quite a different experience for the consumer. And it enabled a lot different experience. And so, that typically, based on my history in the cable industry, that typically will lead to everybody getting more aggressive. But all of our customer have to figure out their business model. And I think...
Amitabh Passi – UBS: Are there any regulatory hurdles that you think need to be cleared, both in Germany and the U.S., for deployments to accelerate?
Tom Lynch: I don’t think anything significant now, not that I’m aware of.
Amitabh Passi – UBS: Okay. Thank you.
Tom Lynch: You’re welcome.
Operator: And we do have a question from the line of Matt Sheerin with Stifel Nicolaus. Please go ahead.
Matt Sheerin – Stifel Nicolaus: Yes, thanks. Good morning. Just a question regarding the accelerated restructuring program, could you be more specific about the areas? I know you talked about Networking, Industrial, Consumer. Could you parse that out? And on the Networking business, is that where you taking the biggest cut? Because with the pressed revenue, even ex-Subsea, trying to figure out what revenue run rate you need to get to get back to double-digit operating margin?
Tom Lynch: As we laid out last time, Matt, it hasn’t changed that much. We just found more. Let’s say that’s really the – we’re digging for every opportunity. And three more months went by and we identified another $25 million investment with a pretty good payback. And it’s going to be primarily in the Networks and Consumer. I think it’s fine-tuning in Industrial. There’s some difficult work there to get the footprint in order and rebalance. But fundamentally, those businesses are pretty healthy. And we’re pretty confident as the revenue comes back, we have significant operating leverage. But when you look at the margin levels of Consumer and Network, we needed to take a lot of cost out. And we found it and we think we can do it without really mortgaging the upside of revenue. So I think we’ll run in, I believe, around 3.4% annual somewhere for that segment. We probably need to get, let’s say, into the – 3.2% rather. We’re running about 3.2%. We probably need to get to 3.4%, 3.5% to get to the double-digit. I would expect at 3.6%, we should be somewhere in the 12% to 13% range. There’s a lot of leverage in the – it’s high gross margin business in Network. And it’ll be higher with the costs we’re taking out and the synergies that we continue to extract across all the businesses. And one of the reasons we put those four businesses together because they all basically are in the same industry and in many cases touching the same customers. So the goal was to become much more efficient than they were grouped in other segments.
Matt Sheerin – Stifel Nicolaus: Got it. And on the use of cash, you talked about the dividend and buybacks, not much mentioned on acquisitions. I know in the last couple of quarters, you’ve talked about doing niche sort of tuck-in deals, nothing really big. Is that still part of the strategy and any specific areas where you’re looking to fill voids?
Tom Lynch: We really haven’t changed our strategy. If you could find the right opportunity at the right price, we would like to be bigger in energy and industrial. They’re really good businesses. They play to our strength, highly engineered, high quality, reliability, got to last the life of the piece of equipment. I mean that’s what we do best. So we have a number of opportunities that we’re looking at. But there’s nothing really even warm, I would say. And also to ourselves, we want to make sure we fully capitalize on Deutsch. I feel very good about the integration on that. So we’re careful. Let’s get that under our belt and running well before we would do anything else. I mean, we’re looking and knocking though.
Matt Sheerin – Stifel Nicolaus: Okay, thank you.
Operator: And we do have a question from the line of Jim Suva with Citi. Please go ahead.
Jim Suva – Citi: Thank you very much and congratulations to you and your team there at TE Connectivity. I have two questions. The first one is on the Networking. Can you talk to us a little bit more about your confidence in that? Like are there carriers giving you roadmaps for the small base stations? Because it just seems like the whole LTE upgrade cycle so far, you guys are not positioned to capture that. So are you actually getting firm orders from that or is that hypothetical which you foresee happening? It just seems like this segment continues to disappoint. And so, I’m just trying to get the disconnect about why it’s not coming to fruition.
Tom Lynch: I wouldn’t use the work hypothetical, Jim. But I would say it’s still at the architecture stage. And so there isn’t really much. What’s being deployed that’s called small base stations today are these digital antenna systems. But that’s not really what the carriers and the equipment providers are really thinking when they say small base stations. So, small base stations are on the drawing board, in test pilots in the field. But it’s not being deployed, I would say, yet.
Jim Suva – Citi: And what’s typical timeline for deployment of that?
Tom Lynch: Well, I think when it starts, it’s going to be a long drawn out deployment because you’re talking about really taking these base stations almost like cable amplifiers today. Now, you see, for every so many houses you have a green or brown box that has a cable amplifier in it. I mean that’s almost what a small base station is. It’s getting something to repower the – boost the signal close to your house. Today, the only thing you really have are the towers. And they’re running out of capacity with all the data that’s going through them. And as you know that it’s not very easy to get a new tower built. But I would expect it to be a long deployment as small base stations get rolled out. I mean, as I said, what we’re selling right now and we’re seeing a little pickup is more the traditional backhaul, more up the – there’s more fiber going up. The current towers and antennas, they’re switching off slowly from coax. So, there’s changes in the network that way that we’re benefiting from. But I mean, the big one for us is when fiber to the home continues to pick up. And it is in different pockets around the world. It’s just not broadly deployed and small base stations get deployed. That’s when we would expect to see a nice pop in our demand.
Jim Suva – Citi: Great. And then my follow-up question is on the operating margin. I believe you had kind of a goal of 15% and there were certain revenue metrics of when you thought you’d hit that as well as the timeline of hitting that 15%. Can you just refresh my memory on that?
Tom Lynch: Sure, Jim. I think right now, we feel in the $15 billion revenue range down a little bit from what we’ve said. That part of the goal or the restructuring to accelerate that. And if we can do it faster, we will without upsetting the apple cart. But think about it as 15% in the $15 billion range. Six months ago, we were talking about $15 billion to $16 billion range. So we’re pulling that in.
Jim Suva – Citi: And then the timeline?
Tom Lynch: Well, if you to take our forecast, let’s say, it would probably be sometime late next year you’d start getting at a $15-million run rate.
Jim Suva – Citi: Thank you and congratulations to you and your team at TE Connectivity.
Tom Lynch: Thank you.
Operator: We do have a question from line Anthony Kure with KeyBanc. Please go ahead.
Anthony Kure – KeyBanc: Thanks. Good morning, guys. Just a couple of quick questions. First, on the book-to-bill as it relates to the different segments specifically on the Consumer side. Can you just speak to – given the shorter cycle nature of Consumer products, does the first quarter book-to-bill reflect second quarter revenue only or is the order book here have a long review than the shorter cycle nature of Consumer products?
Tom Lynch: I would say, Anthony, generally it would reflect – it’s a good indicator of the quarter to come. We did see in Q1. And part of the reason we were a little down on sales because with this kind of book-to-bill, we would have expected to be in the sales range for Q1. So, what we did see was a little more scheduling out of orders. And it was almost a phenomenon of, look, I want to get in line. The customer is saying I want to get in line for the order, but I don’t really necessarily want to take it in early January depending – could something, the fiscal cliff, et cetera. I think just that extra uncertainty and so trying to protect themselves. So that would explain to me a little bit of the book-to-bill. So the encouraging thing is in January, we’ve seen the book-to-bill get even stronger. So I think if it would’ve turned down, that would have said that would just a pushing out of orders. We’re really at a different order rate and we’re not seeing that much for the second quarter. So Consumer itself, I would say, generally is indicative of the next quarter generally.
Anthony Kure – KeyBanc: Okay. So it doesn’t reflect then the new products that are coming online in the second half?
Tom Lynch: Only the new – yes, not the new products in the second half, no. There’s no orders in for that.
Anthony Kure – KeyBanc: Okay. And then my follow-up is just on a little bit more on the Consumer. You mentioned obviously the puts and takes within the business itself, PC being weaker. Can you just remind us what the weighting is PC versus smartphone and tablets for that business?
Tom Lynch: Bob, take that out real quick here.
Bob Hau: PC is about 35% of the business. Mobile and tablet is about 45%. And then the remainder would be business equipment, those types of things.
Tom Lynch: And in business equipment, it’s everything from cameras to copiers to Nintendo and things like that.
Bob Hau: And those will be the percentages for the Consumer Devices business within the Consumer Solutions segment.
Anthony Kure – KeyBanc: Okay, great. Thank you.
Bob Hau: You’re welcome.
Operator: We do have a question from the line of Mike Wood with Macquarie. Please go ahead.
Mike Wood – Macquarie: Hi. Good morning.
Tom Lynch: Good morning.
Mike Wood – Macquarie: The outperformance to global vehicle production that you’re expecting for 2013, can you provide some color on your visibility to that and the main drivers whether it’s luxury vehicle outperformance or content growth?
Tom Lynch: I’ll make sure I understand your question, Mike. Our outperformance of the vehicles, you mean us growing faster than...
Mike Wood – Macquarie: Global auto production, correct?
Tom Lynch: Yes. Well, I think there’s a couple of things there. There is the electronic content. So if production is growing 1% or 2%, you’re going to have anywhere depending on the mix of cars in the world anywhere from 3% to 5% of content. Then you’re going to have a couple percent of price erosion. And it is different region by region. So if production is going up, you would expect our revenue to go up a little more than the production numbers. And then I think we have had a strong performance, continuing to gain share in places like China and the U.S. where we really invested in both places in the downturn. And because of the fragile nature, a lot of supply chains at those times we’re able to garner a little more business. So that’s why we’ve been tracking – those three things have been why we’re tracking slightly ahead.
Mike Wood – Macquarie: Okay. And does the $125 million SubCom quarterly sales pace that you’re expecting in the second half, is that more of a chunky drawdown of some of this shadow pipeline or is that more of a sustainable pace that we should expect heading into your next fiscal year?
Tom Lynch: Right now, we would say that’s more of a sustainable pace. In the past when we’ve seen this kind of pipeline, it’s usually a signal that we’re going back into an up-cycle. But we need to see that start to happen. So I think that some of these projects break loose in the next two quarters. That’s going to tell us a lot that this cycle really is starting to recover or is it going to stay on the bottom. I think we have enough signs that we’re starting to see recovery. And then what will the slope be. Will we go back into another boom or will we go into a more steady build cycle? And that’s really the call.
Mike Wood – Macquarie: Got it. Thank you.
Tom Lynch: You’re welcome.
Operator: And we do have no further questions in queue at this time. Please continue.
Keith Kolstrom: Thanks everybody. We appreciate the questions as always and have a good week.